Operator: Good morning. My name is Audra and I will be your conference operator today. At this time I would like to welcome everyone to the MMLP's First Quarter Earnings Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]  At this time, I would like to turn the conference over to Sharon Taylor, Chief Financial Officer. Please go ahead.
Sharon Taylor: Thank you, operator and good morning everyone. With me today are Bob Bondurant, CEO; Randy Tauscher, COO; David Cannon, Controller; and Danny Cavin, Director of FP&A. I'll begin with our cautionary statements. During this call management may be making forward looking statements as defined by the SEC. These statements are based upon our current beliefs as well as assumptions and information currently available to us. Please refer to our press release issued yesterday afternoon as well as our latest filings with the SEC for a list of factors that could impact the future performance of Martin and cause our actual results to differ from our expectations. We will discuss non-GAAP financial measures on today's call such as adjusted EBITDA, distributable cash flow and free cash flow. In addition, we will refer to adjusted EBITDA after giving effect to the exit of the butane optimization business. You will find a reconciliation of these non-GAAP measures to their nearest GAAP measures in our earnings press release posted on our website. Now, I will turn the call over to Bob to discuss first quarter results by segments.
Bob Bondurant: Thanks, Sharon. I would like to discuss our first quarter performance in comparison to first quarter guidance which we published in mid February. We had adjusted EBITDA of $30.6 million after giving effect to the exit of the butane optimization business which was in line with our first quarter adjusted EBITDA guidance of $31.4 million, a difference of 2%. For the trailing 12 months after giving effect to the exit of the butane optimization business, we had adjusted EBITDA of $117.6 million through the first quarter of 2023. For the first quarter, our largest cash flow generator was our transportation segment which had adjusted EBITDA of $13.2 million compared to guidance of $11.6 million. Within that segment, our land transportation business had adjusted EBITDA of $10.7 million, compared to guidance of $9.5 million. The primary driver of this excess positive cash flow with our line haul revenue, which exceeded our forecast by $1 million as we beat forecast and mileage by 2%, and beat our forecasted rate per mile by 1%. Looking forward, while there is general discussion regarding the possibility of a recession, which we accounted for in the second half of this year's guidance based on our current visibility, we are still optimistic about achieving our annual guidance in our land transportation business. Our marine transportation business had adjusted EBITDA of $2.6 million compared to guidance of $2.1 million. Our day rate revenue exceeded forecasts by a $0.5 million accounting for the excess cash flow in our actual performance compared to guidance. We forecasted and achieved only 90% utilization during the quarter due to seven different barges being in dry dock at various times due to regulatory inspections. However, we exceeded our first quarter day rate forecasts by approximately 7% from continued strengthening in the inland barge market day rate. Looking forward, we believe that strength will continue along with improved utilization of a barge fleet. Our second strongest cash flow generator in the first quarter was our Terminalling and Storage business, which had adjusted EBITDA of $9.1 million compared to guidance of $8.4 million. Overall, in this segment, we missed forecasted revenue by less than 1% but benefited from lower operating costs which were 7% less than forecast. Looking forward we believe actual operating costs will increase to be more in line with our original forecast and we feel confident about our annual guidance in this business segment. Now we'd like to discuss our Sulfur Services segment, which is our third largest cash flow provider in the first quarter. We had adjusted EBITDA of $7.2 million, compared to guidance of $9.6 million. The cash flow miss in our guidance was driven by underperformance in our fertilizer group, which had adjusted EBITDA of $3.9 million in the first quarter compared to guidance of $6.7 million. The primary driver of the cash flow miss was the quantity of fertilizer sold. We missed our volume forecast by approximately 27% as agriculture demand has been significantly delayed due to the impact of unfavorable weather in our marketplace. Also because of reduced for larger demand, our margins have been negatively impacted relative to our guidance. However, currently in April, we are seeing increased fertilizer demand as compared to March and are optimistic we can achieve our second quarter volume forecast, especially considering the USDA estimated $92 million acres of corn forecasted to be planted. Our pure sulfur side of our Sulfur Services segment had adjusted EBITDA of $3.4 million in the first quarter, compared to guidance of $2.9 million. The excess cash on this business was achieved from the benefit and the rise in the first quarter Tampa posting, which increased $40 per ton when compared to the fourth quarter. Now I would like to discuss the performance of our Specialty Products business segment. In this segment, we had adjusted EBITDA after giving effect to the exit of the butane optimization business of $5.2 million compared to guidance of 6.1 million. The biggest contributor to the missing guidance was Martin lubricants packaging business. Overall forecasted lubricant sales volume was down, which was driven by lack of demand from our major retail distributors, which have significant exposure to the agriculture market. We believe due to negative weather impacts, planning of spring crops have been delayed impacting our lubricants sales that feed that market. Additionally, in this segment, our propane group missed first quarter cash flow guidance primarily due to unusual warm weather in our wholesale market area. Looking forward in our Specialty Product segment, we believe our package lubricant business will recover when anticipated sales to the agriculture market begin to improve. We also continue to see strong demand and performance in our specialty grease business in the near term. Finally, I would like to discuss the performance of our butane optimization business which we are exiting. In the first quarter we liquidated approximately 730,000 barrels of butane inventory. Looking toward the second quarter, we believe we will collect proceeds of approximately $20 million, which will be used to pay down our revolving line of credit as we complete our butane inventory liquidation. Now I would like to turn the call back to Sharon to discuss our balance sheet and capital resources.
Sharon Taylor: Thank you, Bob. And I'll begin right there. As for capital allocation, we remain committed to further debt reduction in order to reach our goal of 3.75 times leverage. It's important to note that during the first quarter of 2023, we amended and extended our revolving credit facility, which among other things removed the working capital debt sub limit carve out for purposes of calculating leverage. This was due to the anticipated exit from the butane optimization business. So beginning with this quarter, instead of carving out that under a sub-limit, we exclude the results of the butane optimization business to arrive at adjusted EBITDA to calculate our leverage ratios. At the end of fourth quarter 2022, we announced adjusted leverage of 4.27 times which included a debt sub-limit carve out of $29.7 million. In order to compare December 31, 2022 to March 31, 2023 the December ratio needs to be adjusted to exclude the $29.7 million debt settlement carved out bringing the December 31 leverage ratio to 4.53 times compared to 4.25 times at March 31 a reduction of 0.28 times. At March 31 2023, the total of our long term debt outstanding was $500 million, which is a reduction of $16 million from the end of last quarter. The outstanding debt consisted of $100 million drawn on our $200 million revolver that matures in 2027 and $400 million of senior secured secondly note due 2028. In terms of liquidity, we had approximately $40 million additional borrowing capacity under our revolving credit facility. All in all, the partnership was in compliance with all bank ratios at the end of the quarter. Next, I'll go over our capital expenditures. During the first quarter we spent $6.6 million in maintenance CapEx and $800,000 in gross CapEx. Both of these totals were below our expectation for the quarter, but total anticipated expenditures for the year have not changed. Distributable cash flow for the quarter calculated using adjusted EBITDA after giving effect to the exit of the butane optimization business was $9.5 million and free cash flow was $8.7 million.  Finally, I'll give a brief high level update on the DSM semi-camp joint venture project. Permits for the construction of the electronic level sulfuric acid or ELSA production facility have been received from the Texas Commission on Environmental Quality. The process of recruiting and hiring employees to staff the ELSA facility has been initiated. The standalone project of installing and Oleum tower at our Plainview location in support of the ELSA production facility is on schedule and as of March 31, approximately 400,000 of the total expected capital of $12.7 million for that expansion has been spent. As of today, I am not aware of any delays in permitting or construction that would significantly impact the timing of the startup of the ELSA facility. That concludes our prepared remarks. I'll turn the call over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from Selman Akyol at Stifel. 
Selman Akyol: Thank you. Good morning all.
Sharon Taylor: Good morning.
Bob Bondurant: Good morning.
Selman Akyol: I guess first just starting off on transportation and nice numbers there. And I heard you loud and clear in terms of you kind of thinking about a recession in the second half. As we look into the next quarter in 2Q, in 3Q anything in terms of refinery turnarounds that we should be aware of is it impacting your thinking there at all?
Randy Tauscher: Good morning Selman. This is Randy. We've had heard this is going to be a very heavy turnaround year. If you look at the [indiscernible] refinery utilization statistics, up to now it looks like a normal year. And I will tell you the refineries that we service we have observed the same as it's been a normal year. Most of the refiners we service already through with their turnaround or they are getting ready to be through with their turnaround. It's just a matter of getting back to normal operations. So no, we don't see any impact in a negative way from turnarounds at this point in time.
Selman Akyol: Understood, and then he you also had previously picked up some contracts in Florida. And I was wondering how that was going. And do you see that curtailing as you go through the rest of the year or you expect that to be at the same level?
Randy Tauscher: We have got a couple of terminals in Florida that have opened up in recent years, I assume you're speaking about the ones specifically over in the Tampa market. And we have a very large customer over there that has a lot of ways they can utilize the trucks irregardless of their of their ongoing production at the site. And we think that the spring is obviously generally a very strong time for them. So we expect that to be very strong through the spring. And in the summer months, they have proven to use us quite extensively also. So that has been going well. And we believe it's going to continue to do well.
Selman Akyol: Understood and then I don't want to be too optimistic here but then should I think of transportation is potentially given your budget being somewhat conservative as we roll through the rest of the year?
Randy Tauscher: Yes, I would. I'm optimistic on both the land and the marine, as we move forward through the rest of the year. Now to Bob's comments earlier there, we have heard from the chemical guys, if they're expecting a slowdown as we start working our way through the year. We certainly haven't seen that up to this point where we've seen it, we've seen it very sporadic from a geography standpoint. But all in all, it's looking very strong from what we can see, as we sit here today.
Bob Bondurant: And Selman this is Bob. And to that point and I didn't make it in my earlier comments that we did forecast for that. So as you review our guidance in Q3 and Q4 we've kind of sort of factor that in. So the extent there is a very mild recession or no recession. I think we definitely have some upside.
Selman Akyol: Yes, that's kind of the way I was looking at it as well. Let me just flip over Terminalling and Storage. I guess really two questions there. On the shore based terminals, I think you had a real contract, and we took general partner. And so has that kicked in? Is there still an uplift to come? I guess I was a little surprised on the underperformance on the short base given the recontracting?
Bob Bondurant: And yes, that contract kicked in October 1 of last year. We would with the budget with the volumes that we forecasted, we would anticipate about a million dollars per quarter in that business to the MLP going forward. You're right, we did not achieve that in the first quarter. We do expect the volumes to pick up for that business in May. And we expect to see better performance from our business May forward.
Selman Akyol: Understood and then on the underground storage, and I know most of that's been related to butane. Have you looked at trying to re-contract it anywhere else just on a sort of fixed fee basis either for propane or maybe some other NGOs? And is there any update on that?
Bob Bondurant: There really isn't an update on that. We have looked at it, we continue to look at that. I would say right now the interest has been slight to moderate, not high for third party contracting. And I would expect that we will see a contract between the MLP and the general partner for that in the next 30 or 45 days or so.
Selman Akyol: Got it. And then just over on sulfur. Was there anything in particular about the pearling side, because you certainly handily beat expectations there?
Bob Bondurant: The volumes were a little bit better than we anticipated them to be. We have over 3200 tons a day going through the terminals, not just a trailer, but the terminals in Beaumont. Last year we expected the turnarounds to impact it more than it did in the first quarter. And we moved over 3000 tons a day through there. And then I think it's just a function of some of the operating costs. It would drive a little bit of volatility in that business.
Selman Akyol: Got it. And then I guess just sort of the last one, it sounds like you expect another 20 million to roll in. So it looks from liquidating the butane. So looks like you're on track to sort of hit the $480 million mark I think you guys had laid out as a goalpost. Anything I should be thinking about that or is that --
Sharon Taylor: Yes. That's still our expectations on debt reduction for the year Selman. So we expect that we will come in somewhere between the let's just call it 70 million to 80 million on the revolver for this year.
Selman Akyol: Okay. That does it for me. Thanks so much.
Sharon Taylor: Thank you.
Operator: [Operator Instructions] And we have no further questions at this time. I would like to turn the conference back to Bob Bondurant for closing remarks.
Bob Bondurant: Thank you Audra. I'd like to close by saying thank you to everyone that was on the call. And thank you Selman for the good questions we’ve received. I'm pleased with our start to 2023 and I'm proud of the progress we have made to strengthen our balance sheet and improve of our leverage profile. Looking forward, I'm confident that we are positioned to deliver the financial results that we shared with you on our guidance. I look forward to speaking with you again next quarter. And if you have any further questions or want to have a follow up conversation with management. Please reach out to us. Have a great day.
Operator: And that does conclude today's conference. Again thank you for your participation. You may now disconnect.